Operator: Good morning, ladies and gentlemen. Today is Tuesday, July 21, and welcome to the Butler National Corporation Fourth Quarter Fiscal Year-end 2020 Financial Results Conference Call. [Operator Instructions]
 Your call leaders for today's call are David Drewitz, Creative Options Communications; Clark Stewart, President and CEO; and Craig Stewart, President of Aerospace Group. I would now like to turn the call over to Mr. David Drewitz. David, you may begin. 
David Drewitz;Creative Options Communications: Well, thank you, and good morning, everyone. I hope everyone is safe and happy. Before Mr. Stewart begins, I would like to draw your attention to, except for historical information contained herein, the statements in this conference call are forward-looking and made pursuant to the safe harbor provisions as outlined in the Private Securities Litigation Reform Act of 1995. Forward-looking statements involve known and unknown risks and uncertainties, which may cause Butler National's actual results to future periods to differ materially from forecasted results. Those risks include, among other things, the loss of market share through competition or otherwise; the introduction of competing technologies by other companies; new governmental safety, health and environmental regulations, which could require Butler to make significant capital expenditures. 
 The forward-looking statements included in this conference call are only made as of the date of this call, and Butler National undertakes no obligation to publicly update such forward-looking statements to reflect subsequent events or circumstances. Important factors that could cause actual results to differ materially from the expectation reflected in the forward-looking statements include, but are not limited to, factors described under the caption Risk Factors in the company's annual report on Form 10-K filed with the Securities and Exchange Commission. 
 So with that statement completed, I would like to turn the call over to Mr. Clark Stewart. Mr. Stewart? 
Clark D. Stewart: Thank you very much, Mr. Drewitz. This is Clark Stewart, I want to welcome everyone to the call this morning. Thank you very much for taking your time to express your interest in Butler National Corporation. 
 I want to call your attention to Page 3 and Page 9 of the Form 10-K, where we have the risk factors in the forward-looking statements. All of those things could affect our business in some manner. This year, we had a new one show up, and that was a forced closing by the state of Kansas as a result of COVID-19, which we had not anticipated in the past. So as we move forward, we always learn there are things we don't know about. 
 So if I also call your attention to Footnote #3 in Page 40 of the 10-K, and it relates to the accounting for leases. You'll see that the effect on our net income was about $1.75 million, $1.85 million, I guess. And I would also -- that paragraph is also showing on the press release under Business Segment Highlights. Essentially, what that says is that instead of a lease payment out into the future, we book an asset, we book a liability. We imply interest and we imply depreciation of this asset we have booked. And that distorts the financial statements significantly, in our case, as a result of the significant investment in assets in Dodge City and the casino, which is about $50 million in total. So that is the reason you're having the adjustment in the net income that doesn't look good, but that's what that is. It's Page 40 in the -- and really Page 2 of the press release. 
 Having said that, we'll go to Page 34 where the cash flow statement in the 10-K is the significant item. And that shows that we generated about $7 million in cash between the start of the year and the end of the year, and that is a good thing. There's always a negative to all of these things. We also are committed in our extended agreement with the state of Kansas to spend $9.6 million, I believe it is, in capital investments over the remainder of the current contract at which we've spent and agreed to spend about $3 million of that, updating the backup electrical system to keep us from having brownouts in the casino -- on the casino floor. And that progress -- that project is underway. So that's just another one of those items that we're not used to looking at. 
 So our cash flow is good. Our revenue is significantly improved from a year ago, and we might ought to look at that a little bit on the Page 1 of your press release. You can see that our revenue went up from $58 million last year to $66 million this year. And the quarter was down a little, and that's because our casino was closed as a result of the COVID for 43 days. And that resulted in a substantial amount of loss, I guess, the best way to say it. But after all the dust settled, we earned $4,234,000 compared to $3,853,000 last year, and we're happy with that. You'll notice the total assets increased from $48.9 million to $94.9 million, and that is the -- primarily the result of the accounting change. From the standpoint of financial stability and where we are today, that is good. We remain close in the next year for 22 days. You should know that. I think we've made -- that's pretty clear in the state of Kansas. That's what's happening. 
 So what's happened now at the casino since we reopened is we've seen a fewer number of patrons, but we have been -- there's an increased spend. So we're within 5%, 10%, that kind of numbers of our performance last year was our best year at the casino since we started. So we're operating above our planned budget with the COVID-19 situation and just slightly below last year. We expect this month probably to beat last year. So it looks good out there, and we're -- we'll see what happens next. But at this point, we can keep the doors open, the people coming in, we're in good shape. 
 So that's cash flow status. The income looks good. Our assets are up. Our debts are down, as you can tell, we're having almost none. And we do have a substantial backlog, which I think is reported in the second page of the press release. And you can see there, the backlog is strong, and maybe I got the wrong page. Third page, sorry about that. Backlog is $21 million at the end of April. It's dropped slightly to $19.2 million, which means we shipped things. And we are busy in the Aerospace business. And Craig, if you want to talk about the Aerospace business a little bit. 
Craig D. Stewart: The Aerospace business has remained pretty strong. We were -- we've missed a lot of marketing opportunities with the COVID-19 in terms of travel and shows that we normally attend. But it doesn't seem to have a -- at this point, have had a negative impact on our sales cycle and our quoting cycle. We're still having pretty strong interest. And especially in the modifications group, the backlog shifted a little bit more from the avionics side of things to the modification side of things. And it's looking good from a standpoint of where we're going to be over the next 3 to 6 months. Our backlog is really strong. And I think it should continue to stay there here over the short term. 
Clark D. Stewart: Thank you, Craig. The 3 locations, Tempe, Newton and here in Olathe, where we have the avionic shop, are all 3 essential industries. So we maintain those operating all during the COVID-19 situation. They all deal with the security of the United States and the military and so on. And so that's why they're essential. We have a [ flighter ] from the Department of Defense regarding Tempe and some of the others. So that is important from the standpoint of the security of the country. 
 We did have some relief from rent at the casino, thanks to the bank, who is funding the owners that we're trying to buy up. So we had 3 months reduction there, about 38%. And that helps some hopefully of that will go away here soon. And that -- so that's the status of that.
  #7. We have a comment on the PPP on Page 45 of the 10-K. And that's status of the buyout, would be your next item. And that one is -- we have a bank lined up to do it. We have -- they have participants. I think the concern is that they wanted to see that the casino reestablish itself, and they also want the clear factor from the state and the federal agencies and everything else. Not scaring everyone into hiding, I guess, is the best way to say it. And so we're progressing on that. We don't have a schedule, however, and everything seems to be in good shape. We just need the level of excitement to wait, settle down a bit, but business as usual go on. 
 And I think that's -- did I miss anything, anyone? I think that's my remarks. David, we'll stand for questions at this point. 
David Drewitz;Creative Options Communications: Excellent. Let's open it up for questions. Ross, can you open it up for questions? 
Operator: [Operator Instructions] And our first question comes from [ Sam Rebotsky ] from [ SER Asset Management ]. 
Unknown Analyst: As far as the casino, from the May 1 to currently, how many days was it closed? 
Clark D. Stewart: How many days was it closed in... 
Unknown Analyst: From April to present, to July. 
Clark D. Stewart: 22 days. We were closed a total of 65. 43 of them in -- before April 30; and 22 after April 30. We restarted at a -- in a very reduced pace. We just had machines, of course, with the 6-foot spacing that ended up being about 170 gaming machines. We had no table games for the first week, and we started opening up some table games as everybody agreed, that the state and everyone that, that would work. And so that's where we are. Yes, we're back to -- we're still only at 353 machines. And it's because we've got the 6-foot spacing and we're in process of doing that. They're wearing masks. We -- our people wear masks, a lot of the patrons were masks, and that's so we're complying with all the regulations. They have thermal imaging cameras at the entrance, both for employees and for the patrons. And that's checking temperature and answering questions about where they've been, what they're doing and all that kind of stuff. So we're complying with all the requirement. 
Unknown Analyst: With the 353 machines, how many day -- how -- what percentage would you say you're off from previous? 
Clark D. Stewart: Well, on the patron count, we're down probably 20%, 20% to 25%, maybe depending on what day you're looking at. But the spend per visit is up and offsetting that lower patron count. So we're about even. We're trying to decide if we can beat last year in July. So we might do that. If we do that, I'd say we're recovered for most part. 
Unknown Analyst: And now that the bank is going to refinance, what is your plans relative? The thought was the value of the casino was significantly higher. Where are we going with that approach of bringing some value? 
Clark D. Stewart: As I said earlier, we're waiting right now on the loan to get the level of activity down to the point where everybody is comfortable making a loan. And I think the banks are concerned about that. But that -- the plans haven't changed there. We anticipate that we will eventually get the loan closed when the economy settles down to a normal pace. And I think that's -- that just adds to the value of the company when we do that. 
Unknown Analyst: Okay. And as far as aerospace, the backlog were on -- how many ships are we on? And how many employees do we have now compared to previously? 
Clark D. Stewart: Go ahead, Craig, you can answer that. 
Craig D. Stewart: From an Aerospace standpoint, we're still operating 1 shift at all the locations. And I would say that from a standpoint of avionics has slowed down a little bit. We've lost -- the ADS-B mandate's passed. That has slowed down a little bit. But what we've seen is an increase in our products in the modification segment to where we're offsetting the -- and actually continuing to beat the performance we've had in the past based on the modification segment, kind of picking up the slack a little bit. 
Unknown Analyst: The slowdown, is that due to your inability to get out and bring new business in? Or what would you attribute that to? 
Craig D. Stewart: I think it's -- the FAA had a mandate for ADS-B was one that was coming, had been out there for a long time for 2020. And that mandate passed, it went into effect in -- on January 1. So most of the people that were intending on doing it have completed it. Leading up to it, there's some that's still going on but some lag that happened in early first quarter of the calendar year. But most of the people now that are doing ADS-B have already completed that. So that's a significant portion of the avionics side of things going down. 
 I don't know that -- from a sales standpoint, our phones are still ringing. I think worldwide, what's happening is everybody's had to shift how they're getting information out to customers because none of these shows are happening worldwide. Nobody is traveling. And so everybody is doing all the sales work virtually. So we're really -- if it was just us that wasn't able to go to these shows, I think it had a really negative impact on us. But Aric and our sales team have done an outstanding job of continuing to get our information out there and make sure we're in front of the right customers. 
Unknown Analyst: Okay. And as far as the number of employees compared to April 30 and now, do we have more or less employees? 
Clark D. Stewart: We have about the same number, give or take, 5 or 6 because our -- we kept our people at the casino on the payroll for all practical purposes, all the way through this. And we, of course, have the staffing at the -- all the essential parts have never changed the staffing. Actually, it's grown a little. So I would say, they're equal to where we were before the COVID. 
 And I believe that the ADS-B, Sam, you may not know, has to do with the monitoring of the airplanes by the air traffic control to meet the specifications so that everybody is identifiable on the ground and in the air, and that's what that complying -- that's what the modification was. From the standpoint of employees, we basically have -- we have the same thing that -- we're of the same counts as we were before. 
Unknown Analyst: Yes. Do you think you're going to be able to get more bids out for more work for the aerospace, and the prior to being able to participate and make more visits? Or what's your expectation? 
Craig D. Stewart: Sam, it's kind of -- right now, it's tough to call as to when all the COVID stuff is going to clear up and international travel will resume right now, we will not allow our sales guys to travel internationally based on the health of them and their families and the rest of the company. But I think that's the way it's -- as I was talking earlier, that's the way it's working worldwide. And we're seeing a shift. The good news of that is our travel expenses have gone way down from what we're spending, going out and trying to sell stuff. And I think we're doing a lot of these, they're having a lot of virtual-type meetings and phone calls. So it's a different, different world, but we're managing to get through it. And I think we're doing a great job right now with the -- with continuing to get quotes out to customers. And so I'm excited about where we're going. 
Unknown Analyst: Okay. Good luck. And hopefully, we improve the profitability going forward. 
Clark D. Stewart: And Sam, on the number of employees is on Page 7 of the 10-K. 
Operator: [Operator Instructions] 
Clark D. Stewart: David, doesn't sound like we have any more questions. 
David Drewitz;Creative Options Communications: No. 
Operator: There are no further questions. 
David Drewitz;Creative Options Communications: So Clark, any closing statements? 
Clark D. Stewart: You bet. Thank you all for spending your time with us this morning. We appreciate your interest in Butler National Corporation. We think that we've responded to these new challenges as fast we can. And I'm sure it's not perfect, but we have tried to keep the doors open and get it done. So thank you very much for spending your time, we appreciate it. I'm finished, David. 
David Drewitz;Creative Options Communications: Thank you very much, everybody. Have a great wonderful day and week. 
Operator: This concludes today's conference call. Thank you for attending.